Operator: Good day, everyone, and welcome to the TD Ameritrade Holding Corporation's September Quarter Earnings Results Conference Call. This call is being recorded. With us today from the company is President and Chief Executive Officer, Tim Hockey and Chief Financial Officer, Steve Boyle. A file containing Mr. Hockey's and Mr. Boyle's comments on the quarter can be found on the company's corporate website amtd.com under Investor Relations. This call is intended to address related questions from investors and analysts. Questions from reporters can be directed to the company's media relations team or you can follow their Twitter handle at @TDAmeritradePR, which will be live tweeting this morning's call.
Operator:  Your first question comes from the line of Rich Repetto. Your line is open.
Rich Repetto: Good morning, Tim and Steve and thanks for all the information and the rundown of the business initiatives that you're focusing on. And I guess, my first question would be you mentioned a lot of areas, we expect – that you're working on and investing on where you could see growth. Is there any way you could prioritize them in – to receive in – like which one, two or three have the greatest possibility of impact in the top line and by how much and on what timetable?
Tim Hockey: Hey, Rich, it's Tim. So let me take a first stab at that and let me actually talk a little bit more about the process because I think it's probably important. When the announcement came out and we made the decision to go to zero, the first thing we did was we got the team together, the senior executives team and took a look at our strategy and then at our priorities for 2020 and started to re-prioritize those in light of the new environment. And so many of these initiatives were underway some of them were a little further out, simply because we thought they were not as important in the environment we used to be in. And so then we recalibrated those, much of which you see in Steve's list in his commentary. In terms of prioritization again, it is relatively early days in terms of their absolute size. These would be relative guesses to what we think they would be projecting in the out-years. And we were frankly conservative in our expectations of revenue growth in the 2020 forecast. So we're not going to be able to disclose much more in terms of the absolutes, but just thought it was important to help you understand that these initial first couple of weeks stage how we went through and prioritize. And obviously, there'd be further fine-tuning as we learn more. But over to Steve for some more.
Steve Boyle: Yes. I'll just say Rich, a couple of things. So we started our strategic resiliency project about a year ago and we've been focused on putting in place customer profitability aligning our cost to our – with our strategic priorities. And I think the organization has a new more fulsome view of where we're making our money and where we're expending our resources. And I think that's going to be a – what's going to be a big area of focus anyway. And it's going to – I think it's taken on even more urgency with some of the changes that we have.
Rich Repetto: Okay. Thank you. And then my one follow-up would be in the commentary of prepared remarks you talk directly about and I think "Sustainable competitive scale benefit." And specifically, you say looking back to Scottrade purchase was a prudent decision. So I guess, given that everything that's gone out with the zero commission and looking for efficiencies, some say consolidation is a way to maximize efficiencies. But I'm just trying to get an update on how Ameritrade and the Board look at consolidation now that we're in a zero commission environment going forward?
Tim Hockey: So Rich, the team here was joking about after having a number of quarters where we didn't have an M&A question on the call, how many we would get in how many different ways there, Rich. And so that's one. And you know, our standard answer on that is, we will take a look at anything that makes financial and strategic sense. But you're right, we did make the comment that the Scottrade deal was fortuitous timing. Scale is important. We have scale. We're very comfortable with our earnings power now even in this new environment.
Rich Repetto: Got it. Okay. Thank you very much, Tim and Steve.
Operator: Your next question comes from the line of Chris Shutler. Your line is open.
Tim Hockey: Are you there Chris?
Operator: Your next question comes from the line of Rich Repetto.
Rich Repetto: Already asked, answered. Thank you.
Operator: Okay. Chris Shutler, are you able to speak?
Chris Shutler: All right. Can you hear me?
Tim Hockey: Yes, we can.
Steve Boyle: Hi, Chris.
Chris Shutler: Okay, great. Guys, sorry about that. It sounds like you're thinking about gearing your pricing, your solutions, your service level depending on how engaged clients are with TD Ameritrade. Could you maybe flash out what you're thinking about a little bit more there? Thanks.
Tim Hockey: Yes. Chris, I'll take that. Some of the work that Steve had been alluding to is that we've done a lot of analysis in the last of a while about where our costs have been driven and the segmentation and the type of our clients. And so we put segment leads in place. They are now working through the offering, the client experience for each of those different types of segments. And we really do understand the costs and the revenues associated. If we haven't had the commission impact a few weeks ago then I could very well have imagined in the next call it over next year we would've started to be much more targeted in the appropriate price or value for each of those clients as opposed to what I've always found interesting in this industry as sort of one price fits all with a high degree of emphasis on awareness of that particular price point. In light of that with that price going now down to zero, it doesn't preclude us from really understanding where there are opportunities to best charge for the value created. So I think that work will continue. I think the team is actually quite energized to not have that sort of anecdotally it's hanging over us which is the price point. Yes, it was very painful and the revenue give up wasn't helpful at all. But it's actually a bit liberating in terms of really trying to understand where we can create value for clients and then potentially charge for it. So the good news is we've got I'd like to say probably 18 months head start doing that work. And so that should just be accelerated now.
Steve Boyle: Yes. I think similarly too Chris on the expense side there's a number of things that we give to everyone today that a number of our clients really don't utilize, but cost us money. So we think there's probably ways to value engineer that offering so that the clients still see a great offering and really don't know it's a change, but it's a lower cost to us going forward. So I think I see that as well.
Chris Shutler: Okay. Great. Thanks. And then as a follow-up in the commentary you mentioned that in the zero commission environment, you think that there could be some disruptions in the IBD and full-service broker industries. Maybe just elaborate on that comment and how do you see that playing out over time?
Tim Hockey: Well first I would say, if you go back 45 years, this industry category the online brokers the "Discount brokers" was born out of price competition. At that time, the price was $75. So here we are now at $0. In the last 45 years, our category has been winning share from those others the full-service categories the wirehouses. And so now that that number has gone all the way down to zero, I think that trend will accelerate. So that will be a category accelerant to all of us. More recently, the impact of course has been that there have been new entrants at a zero price point. That's largely been their differentiating characteristic that has now been gone away.
Steve Boyle: And I think Chris on the institutional side, we think that the changes in the environment are going to drive more -- first going to emphasize speed that's going to create discussions with clients; friction we think there'll be more breakaway brokers potentially here in this environment and more people rethinking things tends to get them to think about the independent model and we think that that's very good for our institutional business.
Operator: Your next question comes from the line of Mike Carrier. Your line is open.
Mike Carrier: Good morning, and thanks for taking the questions. You guys mentioned feeling confident in keeping expenses flat over the next few years while maintaining healthy net new asset growth I think in the high single-digits. So assuming there's some comp and other costs associated with the net new assets that come in to door. So maybe what are some of the offsets to keep the expense base flat over the next few years?
Steve Boyle: Sure. So as I mentioned, we've been sort of gearing up for this. I think that the biggest emphasis is that we're really focused on those places where we really think that we excel where we can win and where we are trying to stop things. So we announced the branch closures last year. We've refined our branch network it's still incredibly important. But all of it streamlined. We've shutdown our trade architect duplicate platforms. We've shutted our Investools business. We closed our -- we sold off our Trust business in June. So we're really focusing on what is our core competency where can we grow, not trying to be all things to all people. And we've also been really enhancing our automation. So we're providing a much smoother digital experience for our clients. We're reducing client irritants. We're reducing their reasons to call us. We've got an AI tool that helps us understand why clients are calling and we're addressing the things that drive the most call volume into our call centers.
Tim Hockey: And just a couple of other things on that. As we alluded to the strategic resiliency work, what's really trying to bucket our costs against three categories of things; the first one and the most important is those things that are really differentiators for us our platforms, our educational offerings things that make us standout relative to the competition and our clients really value. Second category is the -- just keep the lights on what you need to do, I mean your focus there, of course, is to make that more and more efficient and automation really helps there. And the third category are those things that aren't differentiators. There are things that you might have tried that we're keeping on life support, but our clients are saying they don't really value. And that category used to be slimming down or getting out entirely. Steve gave you a few examples of decisions made already and we have others in the offer that will all be driven by the data that our clients tell us they value or not. So we think there's good opportunities to make sure we continue to streamline our dollars into the things that differentiate us.
Mike Carrier: Okay. That's helpful. And then just a quick follow-up on some of the new initiatives. One area your mentioned was building on a more compelling offering, I mean solutions for both indeed to investors and then for the higher net worth RIA clients. I guess, just curious when you think about what you offer today, what do you think is needed to be more successful there?
Tim Hockey: So Tom's business as we know has been growing at huge rates, but there were some offerings in the family office side that our clients with larger books that are interested in having donor-advised funds. This is something that we're working on and should have out relatively soon. Some of the higher-end services that our private -- charitable giving, trust accounting, cash management capabilities all of those things that are helpful to higher net worth clients and they've been asking for a while and those are important too.
Steve Boyle: Yeah. And I guess we've also been working at what our engaged investors, what they see as advice or help from us and what they really value in that and we think there's opportunities to provide extra services for people that'll be willing to pay for and we're working on some of those offerings in the upcoming year.
Mike Carrier: Great. Thanks a lot.
Operator: Your next question comes from the line of Chris Harris. Your line is open.
Chris Harris: Thanks. Good morning, guys.
Tim Hockey: Good morning.
Steve Boyle: Good morning.
Chris Harris: With respect to the commission cuts the decision happens really quickly and it is permanent, but I know you guys have been thinking about this I'm sure for quite some time. So can you walk us through your thought process on why it's zero right away as opposed to maybe dropping it to a few dollars and seeing what happens from there?
Tim Hockey: Yeah. Thanks Chris. The -- so as you imagine this has been a bit of a slow moving train for literally decades the discussion about what price point will be here when. The set has gone from $75 down to now zero. What we've done over the last couple of years especially in early 2017 when the last round of price cuts happened was really understand customer price sensitivity curves. And so we've done a lot of analysis as to -- at what point our clients were going to be too sensitive and too sensitive as in we would have too high an iteration risk or we not to move. So at the same time we started thinking about how do we get our strategic resiliency program ready and standing up at the same time we're getting prepared for what we thought would be perhaps an eventuality, although probably not as early as it actually happened going to zero. What the analysis told us is that about call it $2 or $3 price point, you can eke out an extra premium if you will for the value proposition that you provide. But below that price point and especially at zero there is -- when the major competition goes to zero then it is a pretty game over from a -- from that particular price being commissions for trade. We don't necessarily believe that that's true for all prices through all services. It's different, obviously, sensitivities of clients for different offerings. But at that particular flashpoint of zero we needed to match. And so that's why the decision was made on the day and we went a couple of days later.
Chris Harris: Okay, got it. And then with respect to some of your longer term planning, can you remind us when the agreement with TD Bank comes up for renegotiation? And could there be some potential release with that agreement given what's happened on the commission side of your business?
Tim Hockey: Yes. The agreement actually we have to notify each other by July of 2021 whether we wish to renew it and extend it. And that would be effective 2023. So there's lots of time between now and then, and then lots of time after. But yes, there's an opportunity to have discussions with TD to see what the appropriate prices for deposits are.
Chris Harris: Thank you.
Operator: Your next question comes from the line of Devin Ryan. Your line is open.
Devin Ryan: Great. Good morning, Tim and Steve. So wanted to touch on the 49% increase in new accounts, since they moved to 0 that really stood out to us; and if we can maybe dig into that a little bit more. I'm curious if net new assets corresponded with the new account trend just over the kind of short period of time? And where those accounts coming from if you candidate they're all active trader clients that are just moving over? And then, any expectations looking forward just around what new account growth could look like especially now that your prices have been removed as an impediment?
Tim Hockey: Yes. So I'll take that. And so first Devin I would say, the data we have so far a couple of weeks in really is quite anecdotal. There's the initial euphoria of $0 our -- literally our client advocacy scores go up literally daily. We track them daily. They go up 10 points in the last couple of weeks and which is great, given that we've also had about a 10% point increase over the last year. So a pop on the steady increase is fantastic. Then we've got all of the activity of new clients being attractive because of the headlines and probably the new stories. And as we alluded to, there's lots of great anecdotes of clients coming home that have said hey, we loved your service. But in fact we thought that the price point was better else where. So therefore there is no differentiation point. And now, we'll come back to everything that you have. So unfortunately all of this is relatively anecdotal. Some of the NNA data we have, it takes time to build especially in our institutional business. But we've seen some very encouraging signs, the ACATS, the account transfers that we can track daily, that's coming in are quite positive. And our sales teams themselves, they're actually using that as an opportunity to talk to our clients and to bring them back. So I'd say, there's no anecdotal negatives that we're hearing other than perhaps certainly fun story clients who are calling us saying hey, we're worried that 0 that you can't afford to give me the service that you're willing -- that you've been giving me. So I'd be more than happy to pay the $695 price to get the service I've been having. And of course, we've been happy to assure them that they will get the service that they are used to at a 0 price point. So we're thrilled about this and our teams. I can tell you our associates are incredibly thrilled to be -- to have the cloud of the price differential taken away and so we compete head-up because on that game we will win.
Devin Ryan: Yes. You should take the commissions. Real quick follow-up, just on the balance sheet, you bought some treasuries in the quarter. I'm just curious how you guys are thinking about using the balance sheet from here, just in the overall asset liability management? And how much you could or would think about expanding that?
Steve Boyle: Yes. So I don't think we'll expand it too much. That was sort of a opportunistic thing that we were able do. I think you'll see most of the changes that we do going forward in the BDA balances. But what we did at the time the summer, the treasury and the swap curve sort of all skew and it was much more advantageous for us to put on duration on the treasury curve and most of it is in the Hold Co. And so we've got mark-to-market, but there's a couple of hundred million that's in the broker outside of said cash. And those treasuries have about a 10 year duration. So you do see some decent movement with rate changes.
Operator: Your next question comes from the line of Brennan Hawken. Your line is open.
Brennan Hawken: Good morning guys. Thanks for taking my question. And for those keeping us quite at home here is question number two on the M&A front. So we've got commissions now at $0 -- some would argue that -- that previously was a impediment or a potential risk for a competitor response to any deal in motion. How do you think about that, when you consider an industry where scale is now increasingly important? And also maybe Tim, can you add how this -- the fact that there's a leadership transition happening now feeds into or may impact your decision to pursue any strategic alternatives?
Tim Hockey: Well on the M&A question, I think asked and answered. But on the CEO transition, I think that's important. So the process is under away. Certainly the Board has convened a search committee they've had the search firm. There are candidates being considered. I can tell you that the move to $0 has absolutely improved the opportunity to get a good quality CEO in here. I can tell you that when I was considering coming to TD Ameritrade a number of years ago of course the -- that sort of anecdotally is about when is price point going to $0 going to happen. Nobody wants it to happen on their watch well it did on my watch. But I can tell you that that's now gone away. So having a new CEO come in, I think just made it easier to attract them.
Brennan Hawken: Okay. And then when we think about -- and Tim this is nothing negative about. You know how I've felt about your leadership. I said it during the last call; I'm just kind of confused about the announcement of the transition. So, this is meant with all and clear due respect. Can you explain to us what the process is for review given the fact that there is a CEO transition in place, there are some really monumental changes happening to the industry? And while I have full faith and confidence in your judgment, you are not going to be there beyond February. And so like dealing with the repercussions of decisions having like continuity through this very, very difficult period it's pretty important. And one of the questions that we regularly debate with around -- with investors is whether or not that factor is impacting Ameritrade? How involved is the Board in these dynamics in these discussions in these decisions? If you could just shed a little light on there? And sorry it's a bit of an awkward question I--
Tim Hockey: I appreciate the question. In fact I think it's a perfect question because it is on everybody's mind and it shouldn't be the elephant in the room. Look a couple of things happened after my announcement in July. First thing was to get together with the team -- my leadership team first. And say look the phrase I use is me as we there is no more CEO; there is now a senior leadership team that is going to take the organization forward. So, I can tell you that after July the discussions both with the Board and collectively came up with a very, very tight and cogent set of strategy and tactics that I could hand over to my successor in the middle of our fiscal 2020. And it's the tightest I've ever seen frankly. And then of course the world changed in early October. In terms of the Board, I think that's an incredibly important discussion. The Board -- we've probably had more conversations with the Board collectively since July to make sure that there is very tight alignment with the Senior Operating Committee around both the strategy and the day the announcement around the price competition came out, we convened the Board within I think six hours. And we had 100% -- their 100% support. We walked through the analysis, we walked through our research, we walked through what had happened in the industry. And there was 100% support for the team's collective decision on what to be moving forward. So, it is a great question. I can tell you I will -- as I told the team I will be here swinging with every breath I have until my last day. And I'm very confident both the team and the Board with the new CEO, we'll be able to compete even more strongly and powerfully in the new environment. But great question, I appreciate your comment.
Operator: Your next question comes from the line of Bill Katz. Your line is open.
Bill Katz: Thank you very much for taking the question. Just sort of change tack a little bit. I was just wondering if you could go back to some of the fiscal 2020 guidance assumptions. And I was just wondering if you could sort of maybe unpack on the revenue side a little bit. I guess what I'm struggling a little bit is just sort of the underlying number of rate cuts you're assuming versus what the forward curve might be anticipating. I think we peel back the 10 basis point decline in the net interest margin year-on-year just given a lot of moving parts and so how do you get to that dynamic just given what looks like BDA guidance where the yields are actually yields are for client balances what have you?
Steve Boyle: Yes. So, Bill, maybe I'll start with the interest rate assumptions. So, we wrapped up our plan a little bit earlier as Tim mentioned this year than usual and rates were sort of all over the place with just to land on a scenario and stick with it. And so we do have in sort of a midpoint scenario one rate cut in March. But we've given you all the changes that we would expect what the impact of an additional rate cut would be and you can move that at different points in the year and whatnot. So, that was why we tried to be as explicit in our footnotes as we were Steve and take that for what you wanted. On the net interest margin side, there is a lot of moving parts there. As you know margin spreads are higher than BDA spreads. We've had a lot of movement in segregated cash. But generally, the decline is because rates are starting to come down here and that's going to be probably factored into next year as well.
Bill Katz: Okay. And just a follow-up and thanks for taking the question this morning. Just coming back to the net new asset outlook for you. You like always also suggested that it removes the impediment for growth, yet your organic growth rate has sort of stayed the same in terms of your assumption year-on-year if you look at fiscal 2019 guide versus I think when you're initially guiding for this year. Is that just a point of conservatism? Is there anything that's different that sort of tamper some of that view? And then as you think about that mix going forward, just what -- how does the yield on that incremental growth compared to legacy book of business?
Tim Hockey: Yes. So, on the actual growth rate what we decided to do with our 7% to 10% range was to not adjust that as the result of the most recent change given when we were putting that in it was really two weeks in. As we said earlier the anecdotal trends that we're seeing are very strong, but we'll have to come out with subsequent quarterly revisions obviously with performance unless we've got a little bit more time under our belt.
Steve Boyle: I think that's right. We're at 7% last year. So, we're at sort of the low end of the range. I think the fact that we're now in a zero rate environment and obviously, that was not in last quarter at all and happened October 1st is we think a positive factor going forward.
Tim Hockey: I guess, the other point – I am not sure Bill, this was exactly the question, but we have heard from a number of folks why do we think – everyone is saying that zero was going to help them why do we particularly think that? And I think the fact that, we were growing without zero, zero was our – price was our biggest client here since and in fact we are seeing reduced revenue by the most amount of money. And so by definition, how our clients are going to be getting that much more value in the offering. I think those are all reasons why we are quite confident that this is going to be powerful for us.
Operator: You're next question comes from the line of Michael Cyprys. Your line is open.
Zack Feierstein: Hey, guys. This is Zack Feierstein on for Mike. Just want to circle back to an earlier question. I guess, would a lack of a permanent CEO being named prevent the company from executing on M&A?
Tim Hockey: That's number three. And so – and there is the company, including the Board and the management team where we all consider opportunities that make strategic and financial sense. It's more than just one person.
Zack Feierstein: Okay. That's helpful. And then at a higher level you mentioned kind of focused on growing in Asia in your prepared remarks. Is there any place else internationally in the next – kind of in the near-term that will make sense to expand into?
Tim Hockey: We've actually done a scan globally a number of times as we do our strategic work and we've decided to focus on our Asian opportunity. That makes more sense. We think that's the biggest opportunity for us for the next little while. So, no other considerations right now.
Zack Feierstein: Okay. Thanks.
Operator: Your next question comes from the line of Kyle Voigt. Your line is open.
Kyle Voigt: Hi. Good morning. If you look at your two larger eBroker competitors both of them generate significant revenues from offering proprietary products. So, wondering if you can give us some updated thoughts on the pros and cons and having a proprietary product offering. And is that something you'd consider more seriously now in a zero commission environment?
Tim Hockey: Yeah. We've looked at this a number of times over the years. The best time to, I think build-out a proprietary product offering was probably 25 years ago, with a significant price point pressure obviously on active and passive. As you know, we've got a very open architecture model. Our wrap products and our advisory products are helpful for us. But there is – we feel secular pressure on that particular category as well. And we also think that there is something that's helpful when we in fact have an open offering that isn't a branded specifically TD Ameritrade and makes all things available for our clients. But as you know, you need absolutely massive scale for an offering in asset management these days and so we don't think that that makes sense for us.
Kyle Voigt: Okay. Thanks. And my follow-up is just with respect to one of the bullets in the prepared remarks, taking a hard look either contracts to review the value attained. Can you just clarify was that more in reference to your expenses or your revenues or both? And which one you're referencing these contracts and the value attained? Would that include relationships with market makers and order routing revenues and you think there could be some incremental revenue opportunity there over time? Thanks.
Tim Hockey: The short answer is that anytime – delivering what we deliver is an ecosystem with lots of partners. And so they all have contracts and as a result, we're going to revamp all of them and prioritize them big to small. And so for example, about 50% of our costs are our third-party contracts. So those would be something on the expense side. But we look at things on the revenue side as well.
Kyle Voigt: Thank you.
Operator: Your next question comes from the line of Brian Bedell. Your line is open.
Brian Bedell: Great. Thanks. Good morning, guys. Maybe just question number four on M&A and strategy together. But Tim, just obviously as you sort of begin to exit over the next several months just to get your view given what we've – what's happening now in the industry, do you think consolidation makes more sense in-market consolidation makes more sense? Or do you think the organic growth initiative that you've layed out and thanks again for laying out all of these in prepared remarks actually makes more sense and that the independent firms can thrive better on their own with these initiatives?
Tim Hockey: Yeah. While I'll probably be willing to give exactly the same answer all over again, but I should asked in particular, we will continue to make sense of any offering that is sort of – we look at anything that has financial and strategic sense. More generally, if you're asking in an industry that benefit's from scale and an industry that has small players that have had their price differential, which was their main value proposition and stripped out there will probably be some elevation. That makes sense in any industry. But for us in particular, we're very comfortable with our scale and our size and our Scottrade acquisition obviously helped us get there to be very competitive in a zero environment. And so we're comfortable where we are.
Brian Bedell: Okay. Thanks. And then just on the revenue initiative especially in the new environment. Maybe, Steve if you could just talk about the – that sort of ability to get to the $2 improvement per account it – would that just sort of a sampling or do you think that's readily achievable in the next one to two years? And is the stock lending the easiest one to get to? And then maybe just to layer one more in on banking. Do you think there is potential to launch more cohesive banking strategy with TD Bank like more of an online transactional banking strategy that could also generate new client activity?
Steve Boyle: Yeah. So let me start again. I do think that there's lots of opportunities including additional banking products. And so clearly that'll be something that we'll continue to move forward on. What we did as we looked at our segmentation work was it showed a light on the fact that we do have a number of customers who have relatively small revenue with us. And we think it -- there are a number of ways where we're providing value that people will be willing to pay for. And so the $2 a month per account was a way to think about that. So I do think it's very achievable. It's not going to come all in one loop; it's probably lots of smaller things. But absolutely we'll do that. And I do think some of the other things like a fully paved lending that's going to be last on those small clients and more on clients that have substantial positions with us. But an opportunity not only for us to make money but for them to share in what we're making. So I think it helps our value proposition as well as our earnings.
Operator: Your next question comes from the line of Will Nance. Your line is open.
Will Nance: Hey guys, good morning. Maybe just to put a fire point on I think Bill's question earlier. So the midpoint of the range assumes like a 176 fed funds rate. I think the odds of October rate cut are in the 90 percentage rate. And I think the forward curve is roughly 130 to 140 rate on average next year. So I guess that we do see something more like the forward curve in 2020. Do you guys still think you're in the revenue range and if you are more towards the lower end in that rate environment, do expenses kind of match that?
Steve Boyle: Yeah. So our view would be that we've given you all the data and you can make the rate cut. I think if you did see two or three rate cuts next year you would be towards the lower end of the revenue range. And -- but we think it's -- the range is a good range and that the low end would be good result for us if that were the scenario.
Tim Hockey: And what we try to do is to both be conservative on some of the inputs to the initiatives that Steve laid out and that might be a bit of an offset as well.
Operator: You're next question comes from the line of Steven Chubak. Your line is open.
Steven Chubak: Thanks. Good morning. Just wanted to ask a question on the relationship with TD. So we'll call this question 4.5 on the M&A topic. But TD had strong ambitions in U.S. wealth. And one of the perceived hurdles at least through a combination historically had been the uncertainty around pricing. So it commissions now at zero, growing convergence of U.S. wealth in digital, I'm just curious do the pricing developments change the nature of the relationship with TD? And can you provide some insight on the narrative of potential combination?
Tim Hockey: I think that qualifies as a full-blown number five not 4.5. But -- so first of all the price point, I don't think has any bearing whatsoever on the relationship with TD. You'd have to ask TD what their plans are further on down the road but our relationship is strong and the price point doesn't have any impact on it whatsoever.
Steven Chubak: Okay, fair enough. Thanks for taking my questions.
Operator: Your next question comes from the line of Mac Sykes. Your line is open.
Mac Sykes: Good morning, everyone. Two questions here. Do you expect any changes in the profitability of payment for order flow given the industry move to zero commissions both you and perhaps other participants?
Tim Hockey: No. We don't. And as you know our focus is always on best execution for our clients.
Mac Sykes: Okay. And then could you talk about the competitive threat from short-duration cash ETFs to your BDA business going forward?
Steve Boyle: Yeah. So we already have a number of financial fixed income alternative opportunities available to our clients. And to the extent that they have invest in cash, they utilize those. We have some CDs that are getting ready to mature here. We've seen some money move into some money market funds as the curves inverted here. And so I'm sure there'll be lots of new products coming up, but we don't really see that as a big threat to our cash balances. We think that our cash is principally transactional cash and clients are relatively rating sensitive on it and want it in immediately investable form so that they can make trades when they want to make trade. So not a big issue for us we don't think.
Mac Sykes: Thank you.
Operator: Your last question comes from the line of Christian Bolu. Your line is open
Christian Bolu: Good morning, guys. Thanks for squeezing me in here. I guess number six on M&A, maybe a different angle on that question. Can you talk about maybe the pros and cons of Ameritrade being absorbed by big arrival? Is it even feasible given the TD equity stake? And would there be any sort of strategic benefits, to be in part of a bigger a larger group?
Tim Hockey: So Christian I am glad you asked the question at number six. So the -- you phrased the question, can you talk about the merits? And the answer is, no. I think, it's been often answered. But there's lots of ways around that. But look, we will continue. The Board will continue to look at all combinations that make strategic and financial sense. But I really can't give you any more color than that. It would be inappropriate...
Christian Bolu: Just to be clear, I'm asking it, in terms of someone taking you out, not you taking somebody else.
Tim Hockey: I understand what you're asking.
Christian Bolu: Okay. Got it, so move on, I guess, maybe organic growth. I guess the retail business was soft again this quarter in terms of organic growth, I think you alluded to a pickup in flows post zero commission, so maybe a couple of questions there. More color on where these flows are coming from? Is it from players who already went to zero or from other players? And anyway to maybe quantify, some of the uplift in activity you expect? Or you hope to get from zero commissions? Maybe if you go back to the free trade offering, you had in the late 1990s. What was the differential in activity rates on the average featured accounts versus other accounts?
Tim Hockey: Yeah. Christian, that one I'm really happy to answer. So, all sorts of things so, first of all, the ACATS in, which is really our best opportunity to see from individual players where we're getting the flows. It's from all over. And you can imagine some of the zero price players, when their competitive plan gets torn out from underneath them that would be one. But they're relatively small dollars anyway in terms of what has been over there. And all the also ACATS are in and out. Our outflows are slowing. And our inflows are increasing. But it is pretty widespread. You mentioned the free trade offering we had literally 20 years ago. We actually went back and looked at some of the analysis of the trading intensity of those accounts. Ironically, it was -- well we actually had to double check. It was over 20 times the trade rates from clients who are participating in the free trade. Now, we don't think that that would be the case or we have to buy a little bunch more data centers with going to zero. But there is absolutely in a fact that, when you remove the friction from trading it will get more activity. As you know, and we said many times, even in a world of zero commissions traders are by far still our most profitable customers. And we've been growing that segment at in many cases high single digits and low double digits over the last little while. So we're very excited about the inflow of new activity. And we think our offering will continue to win in this environment.
Operator: There are no further questions at this time. I'll turn the call back over to the presenters.
Tim Hockey: Great, well, thanks everybody for calling in. As we said, even though it was a great quarter and a great 2019, it was sort of overshadowed on October 1, by all of the news. But I think you've got a sense that the team is united in a series of very tight tactics to take advantage of this opportunity. And then frankly, after many, many years of having the discussion and having to answer of what will you, do if commissions go to zero. I think that the day is now here. Clients are better off as a result of it. And we will continue to grow even faster in the years ahead. So we're quite excited. And thank you all for being part of the call.
Operator: This concludes today's conference call. You may now disconnect.